Operator: Good day, and welcome to the Peabody First Quarter Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Karla Kimrey, Vice President of Investor Relations. Please go ahead.
Karla Kimrey: Good morning, and thank you for joining Peabody’s earnings call for the first quarter of 2023. With me today are President and CEO, Jim Grech; and CFO, Mark Spurbeck. Within the earnings release, you’ll find our statement on forward-looking information as well as a reconciliation of non-GAAP financial measures. We encourage you to consider the risk factors referenced there, along with our public filings with the SEC. Now, I’ll turn the call over to Jim.
Jim Grech: Thanks, Karla, and good morning, everyone. In the first quarter of 2023, Peabody’s diverse portfolio produced another strong quarter of financial results. For the past 18 months, we have aggressively been de-leveraging our balance sheet and we remain committed to a disciplined approach for capital allocation. In April, we announced a shareholder return program that will consist of a fixed dividend component, share repurchases and variable dividends. We are starting a program with a heavy weighting towards share repurchases and expected transition to a plan including share repurchases, variable dividends, and fixed dividends. Before expand on the markets and operations, I would like to thank our global employees for their continued focus on working safely and efficiently. Without the dedication of our talented workforce, we would not be in the strong financial position we are in today. Now, turning to global coal markets. Global thermal coal prices stabilized in March and recently showed improvement amid supply disruptions in Colombia, South Africa, and ongoing strong demand from India, China, and ASEAN countries. Although shoulder seasoned conditions and healthy fuel stocks are influencing demand elsewhere. China has ended its unofficial ban of Australian coal imports providing additional demand for Australian thermal coal, which has resulted in Australian import rates of over 4 million tons per month. Domestic coal production and renewable generation have been strong to start the year. However, import demand has been higher year-over-year as overall coal demand has been strong. While it is early in the year, the first quarter of 2023 run rate of imports this close to an all time high of approximately 400 million tons. India too has shown signs of improved economic activity early in 2023, resulting in increased power demand, and elevated coal imports despite elevated domestic production. Overall, demand for seaborne thermal coal is robust and supply it remains constrained across the globe. However, we acknowledge that lower LNG prices and high coal inventory levels in Europe are short-term headwinds in terms of pricing across the globe. Within the seaborne metallurgical coal market, the quarter was characterized by ongoing volatility as global macroeconomic turbulence, counteracted improving demand, and further weather induced supply disruptions in Australia. Met coal price volatility continued and early March increases eroded in the second half of the month amid macroeconomic sediment. To the lowest level since mid-January, albeit remaining healthy at around $250 per metric ton for headline hard-coking coal. In the United States this quarter, natural gas prices have weakened further due to near record gas production levels. U.S. natural gas prompt prices are approximately $2.25 per mmBtu. EIA is currently forecasting Henry Hub natural gas spot prices to increase above $3 per mmBtu during the second half of 2023 in response to higher feed end volumes to LNG exports while natural gas production rates remain flat. Overall, near-turn demand for U.S. thermal coal is expected to be muted as a result of low gas prices and stronger renewable generation. However, as summer weather brings stronger total low demand and increased LNG export pressure gas prices, coal demand has the potential to increase in the second half of 2023. Now, moving on to our operating segments. Our seaborne thermal segments first quarter exports were stronger than anticipated due to better than expected production out of [indiscernible] As a result of more efficient mine sequencing and Wambo Open-Cut as a result of improved productivity. Cash cost per tons were lower than anticipated due to the increased coal production as well as lower overall spend. Our Seaborne met production was down from the fourth quarter due to lower volumes at Shoal Creek and rail and transport congestion on Australia due to heavy rains earlier in the year. On March 29, 2023, the Shoal Creek mine experienced and the J2 longwall panel, a fire involving void fill material utilized to stabilize the roof structure of the mine. All mine personnel were safely evacuated from the mine. MSHA has allowed mine rescue equipped personnel into the mine at various times to assess the situation and perform work in preparation for installing temporary seals. On April 26, MSHA approved a temporary sealing program limited to only the affected underground area, which consists of the J2 panel and previously mined J1 panel. At North Goonyella, we continue to advance redevelopment efforts and expect to spend approximately $120 million as planned in 2023. As a reminder, North Goonyella is a premium grade hard coking coal longwall operation in Queensland, Australia with over 70 million tons of reserves. This operation’s grade of coking coal is considered to be the cornerstone of coking coal feedstocks globally. North Goonyella is expected to meaningfully increase Peabody’s metallurgical coal production and generate approximately 25% returns at historical long-term prices in this initial phase. In the U.S., PRB sales volumes recovered due to higher customer nominations and better rail performance. We are able to pull forward some maintenance into the first quarter to improve truck availability and lower cost for the remainder of 2023. Our other U.S. thermal mines continue to perform well as expected. We are still essentially fully committed at our U.S. domestic operations for 2023, and the railroads are showing improvement in their service levels. While we are sold out, we are working with our customers to be responsive to their needs while retaining the value in our contracts. Our guidance reflects our current assessment of sales going forward, taking to account the current U.S. market conditions. I’ll now turn it over to Mark to cover the financial details.
Mark Spurbeck: Thanks, Jim. In the first quarter, we recorded net income attributable common stockholders of $269 million or $1.68 per diluted share and adjusted EBITDA of $391 million, a nearly 20% increase from the prior year quarter. We reported operating cash flow of $386 million and had $892 million of cash at March 31, after completing the pre-funding of all long-term mine closure and reclamation and adjusting cash collateral for other performance obligations. More importantly, we delivered on our commitments to amend the surety agreement and eliminate the bank letter of credit facility. With our balance sheet initiatives complete, we were pleased to announce a comprehensive shareholder return program. The board has authorized a $1 billion share buyback program and implemented a regular quarterly cash dividend of $0.075 per share for current yield of approximately 1.25%. Under the program, first quarter performance will result in $170.2 million being returned to shareholders, including nearly $160 million for share buybacks or about 6.6 million shares at the current price, better than 4.5% of outstanding common shares. Turning now to the first quarter segment results. Seaborne Thermal recorded $164 million of adjusted EBITDA. As expected, export shipments were lower than the prior quarter due to a longwall move at Wambo, but exceeded expectations by 300,000 tons due to higher than anticipated production from both Wilpinjong and the Wambo Open-Cut joint venture. Higher production rates help drive cost to a lower than expected $51 per ton. With the winding down of the legacy hedge program, we realized an average export price nearly the same as the fourth quarter, despite a 33% decline in the average New Castle benchmark. Overall, the segment reported a 47% adjusted EBITDA margin. The Seaborne Metallurgical segment generated $90.8 million of adjusted EBITDA. As expected volumes were lower than the prior quarter due to heavy rains in Queensland and the challenging conditions at Shoal Creek. The average realized price was flat quarter-over-quarter, while cost increase to $151 per ton due to lower production, resulting in adjusted EBITDA margins of 31%. The U.S. thermal mines delivered a $100 million of adjusted EBITDA. 21% better than the prior quarter, despite challenging market conditions. The PRB mines generated 35.8 million of adjusted EBITDA. Revenue per ton was a record $13.89 as we continue to benefit from the roll off of lower price contracts. 22 million tons were shipped on forecast, while costs of $12.26 per ton were above expectations as we opportunistically pulled certain equipment repair costs forward into the first quarter. The other U.S. thermal mines delivered 64.2 million of adjusted EBITDA. Production and costs were both in line with expectations resulting in adjusted EBITDA margins of 26%. Now turning to the balance sheet. At March 31, we had $892 million of cash. During the quarter in connection with the surety amendment and elimination of the bank letter of credit facility, we increased restricted cash and collateral to 937 million, including 760 million for reclamation and mine closure and 177 million for other performance obligations such as long-term port and rail commitments, black lung workers’ compensation, and legacy pension requirements. Importantly, the revised surety agreement eliminates a substantial liquidity risk by establishing a collateral cap of 56% of the bonded amount and guarantees Peabody’s access to third-party bonding through December 31, 2026. Combined, we believe we have positioned Peabody with the best balance sheet in the industry, free from uncertain credit markets and built to withstand market cycles. Looking forward, we will maintain rigorous discipline to capital allocation, expecting to return at least 65% of available free cash flow to shareholders will never receive the company’s financial resiliency. Lastly, let’s turn to our outlook. Our full year guidance remains unchanged with updates limited only to priced positions. As a reminder, Shoal Creek was transitioning in 2023 until production ramped up later in the year with better conditions. Currently higher than anticipated production from Metropolitan is partially offsetting lost production from Shoal Creek. For the second quarter, we are expecting improvements in our Seaborne segment’s performance and another consistent reliable quarter from the U.S. thermal segments. Seaborne Thermal export volumes are expected to be 500,000 tons higher as Wambo Underground completed a longwall move in the first quarter and Wilpinjong continues to produce at first quarter’s heightened levels. Approximately 1 million tons are priced on average at 243 and 1.2 million tons of high ash product and 400,000 tons of Newcastle product are unpriced. Costs are expected to remain at $50 to $55 per ton. Seaborne metallurgical volumes are projected to be 400,000 tons higher as CMJV shipments recover from the impacts of heavy rains that impacted logistics in Queensland during the first quarter. Above 500,000 tons are priced on average at 244 and remaining tons are expected to achieve 75% to 80% of prevailing hard coking coal prices. Costs are expected to decline to $135 to $145 per ton. In the PRB, we are projecting shipments of 21 million tons priced on average at $13.70. And costs are expected to be $12 per ton. Full year price volumes of 91 million tons are now 1 million tons less than previous expectations better reflecting contract minimums given market conditions. Other U.S. thermal volumes are expected to be 4.3 million tons at an average price of $52.50 and cost of $41 per ton. Full year priced volumes of 18 million tons are also now 600,000 tons less. We previously anticipated annual cash interest payments of 60 million inclusive of surety bond fees with a substantial increase in restricted cash and collateral generating a conservative U.S. treasury like yield. We no longer anticipate significant net cash interest for the year. In summary, the company continued to generate substantial free cash flow. We amended and extended the surety agreement. We positioned Peabody with the most resilient balance sheet in the industry. We initiated a robust shareholder return program and continued to invest in long-term growth at North Goonyella. I’d now like to turn the call over for questions. Operator?
Operator: [Operator Instructions] The first question today comes from Lucas Pipes with B Riley. Please go ahead.
Lucas Pipes: Thank you very much, operator. Good morning, everyone. And congratulations on the commencement of the capital return program that job really well done. My first question is in regards to the cadence of met coal [ph] shipments over the course of this year, and then also the cadence of your met coal costs. So when I kind of back into the full year guidance versus what you’ve done in Q1 and what your outlook is for Q2, we’re looking at a pretty meaningful ramp up in volumes and concurrent decline in cost. And I just wondered if you could provide a little bit more color as to the key drivers there, where you would expect volumes to ramp up within your portfolio. Thank you very much for your color on that.
Jim Grech: Good morning, Lucas. And thanks for the comments on the shareholder return program. We’re excited to finally kick that off. You’re right. As we announced at the beginning of the year, the first quarter was going to be less than rateable in our lowest production quarter for the year. We do expect that to consistently improve largely given improved performance at the CMJV as well as the Wambo Underground was undergoing a longwall move in the first quarter. So that really drove first quarter volumes lower. We’re still on target in our range for seaborne met clearly with some uncertainty around Shoal Creek. There’s a potential to be at the lower end of that range. But we’ll see how that plays out through the remainder of the year.
Lucas Pipes: Thank you for that. And on Shoal Creek, the temporarily sealed section is that the rounding, the existing operating longwall at Shoal Creek, or would that be adjacent to it? I’m just trying to get a better sense for where the affected areas are and what it could mean for production over the course of this year. I know you have a second longwall on schedule for later this year. Any comments regarding the start of that one? Thank you very much for your color on it.
Jim Grech: Yes. Hi, Lucas. It’s good to hear from you again. And I’ll talk about the ceiling and then the other longwall, but I just want to start out by saying that safety dictates every step that we take forward at Shoal Creek. And we’re working very closely with MSHA in this regard. And because that’s our top priority, the path forward that I’ll talk about here can have a lot of variability as we react to conditions in the mine. And if needed, we will reset our path to the safest way to proceed. But I will say that the conditions that the mine have been relatively stable, which has been great. And so with that in mind and the potential for variability, though, our current path forward right now is, as you said, we’re going to put in temporary seals, which they can be put in very quickly, and there’s not as extensive construction process as a more substantial set of seals. And because of that, putting them quickly we can also pick out a localized area of the mine to do that with which as you said, Lucas, that’s just in the J2 panel, and the seals will cut off the J2 panel and the already mined J1 panel area. And so we are in the mine actively doing that right now. I will say that MSHA undermined rescue apparatus and attended by mine rescue personnel. We have been in the mine numerous times since the incident has occurred. So again, I’m going to get back to the relatively stable conditions in the mine. So we’re putting the seals in and in this localized area if all continues to go well, we expect those temporary seals to be put in today – finalized today. And then the plan after that to going forward, is to then flood the area with nitrogen with the goal of eliminating any existing sources of potential ignition. So this whole process could take a few weeks to getting the seals in, putting the nitrogen in, and getting MSHA and us both getting comfortable with the conditions in the mine. After that we’re going to work with MSHA to assess the situation and with MSHA’s guidance, how best to safely proceed in the mine. But the key to the new longwall coming into the mine, Lucas, as you’ve noted, is the seals that we have, the temporary seals are just in the J2 and J1 area. This plan isolates this part of the mine, but if all goes well, again, working with MSHA, we still should have access hopefully to the rest of the mine, which is most importantly the L panel area. So the L panel area, we’ve already – the development is complete already for the new longwall. And we are on schedule as we have been the same schedule to arrive sometime in Q3 and get into much better mining conditions in the J panel. So again, a lot of variability, but the plan is contain isolated to the J1 and J2 still have access to the rest of the mine, most importantly, the L panels where development is done. And then the new longwall will come in the third quarter. Well, that’s the outlook as it stands at the moment. Lucas, of course, subject to change, but that’s where we’re at right now.
Lucas Pipes: That is a lot of color. I appreciate that. I’ll turn it over for now. Thank you very much.
Jim Grech: Next question, please.
Operator: The next question comes from Nathan Martin with The Benchmark Company. Please go ahead.
Nathan Martin: Hey, good morning everyone. And I’ll echo Lucas’ comments. Congrats on getting the surety agreements completed, and then pivoting to shareholder returns.
Jim Grech: Thanks, Nathan.
Nathan Martin: Maybe Mark for you in regards to the available free cash flow calculation you guys laid out this morning, how should we think about modeling that non-controlling interest and restricted cash, line item going forward is the expectation that they might be fairly consistent or could they be lumping – lumpy, excuse me, any guidance there would be very helpful? Thanks.
Mark Spurbeck: Sure. Two things. First on the distributions to non-controlling interest. That’s a minority interest in the Wambo complex 25%. So that’ll be variable based on results from the Wambo mine. And then on the restricted cash and collateral, with the progress we’ve made in first quarter, we’re fairly comfortable with that number. There is some variability. We’ll certainly manage it. But we don’t expect significant changes right now outside of a change in law. New bonding requirements are also a possibility that would increase that. But don’t expect significant changes in that restricted cash and collateral here in the immediate future.
Nathan Martin: Got it. So that $40 million run rate, plus or minus is a good way to think about that then?
Mark Spurbeck: Yes, no, the – just to be clear Nathan, the amount [ph] we have on the balance sheet now is good. And I’m not expecting an increase here over the next couple quarters. And we’ll look to continue to manage that throughout the year. But the biggest risk is changes to laws and regulations.
Nathan Martin: Okay. Got it. So Mark, to be clear that $43 million that is in your calculation of available cash – free cash flow, that probably goes closer to zero because you don’t expect a change in the overall number.
Mark Spurbeck: That’s right. I don’t expect a significant change over the next couple of quarters.
Nathan Martin: Got it. Okay. Makes sense. Appreciate that clarification. And also I have you can – can we touch again on the other operating cost line item? I know I’ve asked about the last couple quarters had been running at $30 million a quarter, I think the back half of last year, you had mentioned you expect another decent quarter. Again, it was actually up $26 million quarter-over-quarter it looks like maybe driven by some of the sales of logistics capacity you guys called out. But it’d be great to get your thoughts on how that line could look over the next few quarters.
Mark Spurbeck: Sure. You’re right. The sale or assignment of excess port and rail capacity that was a one-time gain of $19 million in the first quarter, wouldn’t expect that to repeat. And then the other big item was about $34 million in trading operations. You referenced the previous two quarters that that was basically realizing higher prices in some of the hedged tons and the delay in the delivery of the physical tons and it with an improving price environment, we actually had gains there. Those were real and consistent with our operations. In the first quarter of this year that $34 million gain is largely based on some whole purchases that coal trade made as part of our blending operations. They were able to sell that at prices – realize prices higher than what they purchased those coals at. That’s a timing thing. And with a declining price environment we’ve experienced here in the first quarter, we expect that to reverse here in the second quarter. So that’s kind of a one-time thing that’ll reverse out in the next quarter or two.
Nathan Martin: So to wrap that up, maybe that that $50 million-ish plus this quarter kind of gets closer to zero to $5 million, just any indication on an absolute value.
Mark Spurbeck: Yes, that’s right. If you normalize those two items, that’s right. We include like some of our past mining obligations in there. There’s some corporate and other stuff in there, but pretty modest and the cold trading from a blending operations, I think that $5 million number is something that we’ve targeted before.
Nathan Martin: Great. Appreciate that, that color. And then maybe guys, finally, could we get some additional thoughts on the domestic thermal coal market here? I think there were some comments in your prepared remarks, but specifically how are you seeing your customer’s stockpiles? Are you having any deferral discussions at this point? And maybe as we look into 2024, you gave us some numbers previously around PRB and other thermal commitments. Could we get an update there and maybe any thoughts on pricing? Appreciate it.
Jim Grech: Yes. Hi Nate, good morning. So the current guidance that we’ve put out reflects the current market dynamics and results of the discussions with our customers right now. So as you probably know, our position for 2023 is sold out. So as our customers have different demands or different needs, we work with them to be responsive to that while we still retain the full value of our contracts. But again, with all that said, and any expected changes, that’s all reflected in our current guidance. As far as 2024 on the PRB, we’re about 85% sold position and about 70% sold in our other position. So we got a very strong sales book for next year already in place. And we don’t – we haven’t given up price guidance yet on any of those positions.
Nathan Martin: Got it. And then how would you describe, maybe, Jim, the rail service you’re seeing in the U.S. right now, is that driving any of the expected quarter-to-quarter decline in U.S. thermal shipments, or is that more market driven or any thoughts there?
Jim Grech: Nate, so far I would say for this year, January and February were tough operations for the railroads. The service challenges they had along with some really challenging weather made for some pretty rough numbers for us. But March was a significant improvement, and we’ve seen that same level of service so far in April. So we’re feeling a lot better about the rail service out west and their ability to meet the customer demands going forward. So big improvement there. So now my view on it is going forward is going to be more of fluctuation of market demand and the customer poll dictating the flow of the coal versus rail performance.
Nathan Martin: Great. Appreciate your comments and thoughts, Jim, and Mark as well. Leave it there. Best of luck and the remainder of the year.
Jim Grech: Thank you.
Mark Spurbeck: Thanks, Nate.
Karla Kimrey: Next question.
Operator: Next question comes from Katja Jancic with BMO. Please go ahead.
Katja Jancic: Hi, thank you for taking my question. Maybe going back to the capital return framework, you have nearly $900 million of cash, which I assume is unrestricted on balance sheet. Could any of that be used potentially for the maybe buybacks or special dividends later in the year?
Mark Spurbeck: Hi Katja and congratulations to you. With regard to the cash and the balance sheet, as we mentioned previously, we’re going to maintain substantial liquidity in the balance sheet to weather the volatile pricing cycles and a credit challenged industry. The way I look at this represents the opportunity cost or the call option premium for the free cash flow yield that Peabody generates in the current price cycle. We’ve always mentioned that the shareholder returns there’ll be a minimum of 65% of available free cash flow, but it is on a forward-looking basis. We’re real comfortable given the current marking conditions where we’re at from a liquidity standpoint in that $800 million to $1 billion range.
Katja Jancic: Okay. Maybe just on the second half of the year when you’re applying to have a more balanced capital return framework, can you talk over is this going to be 50% variable dividend, 50% share buybacks or how should we think about that?
Mark Spurbeck: Yes. I think certainly it’s at the Board’s discretion. We’re starting with a very heavy focus on share buybacks given the current free cash flow yield. But we do look to probably transition to a more balanced approach between dividends and buybacks going forward. It’s going to be at the Board’s discretion, but 50/50 split is something that we may achieve at some point.
Katja Jancic: Okay. Thank you very much.
Mark Spurbeck: Thank you.
Karla Kimrey: Thank you. Next question.
Operator: The next question comes from Michael Dudas with Vertical Research Partners. Please go ahead.
Michael Dudas: Hi, good morning, everyone.
Karla Kimrey: Good morning.
Michael Dudas: Jim, the – I wanted to make if you could share your views, there’s been wee [ph] little bit of consolidation and activity in the global mining space, especially in the coal sector in Australia and elsewhere. So I just want to share your views on how you’re seeing that play out, what your thoughts about it. And as you’ve recapitalized in a terrific job on getting the company’s balance sheet is where it is, maybe reiterate your thoughts on how Peabody may or may not fit into those types of opportunities going forward.
Jim Grech: Yes. Michael, well, first off, thanks for getting on the call. It’s great to hear from you again. The as far as you know, Peabody and what we look at as far as potential M&A, we’ve stated before, and it’s still a case that our focus is on seaborne – the seaborne markets and assets that serve the seaborne markets, more heavily focused on metallurgical. But if there’s a good thermal play out there we take a look at it, but our main focus is seaborne metallurgical is where we’re looking. Yes, and there has seemed to be some uptick in M&A activity out there. A lot of discussions going on. To me, it the – it hasn’t – what hasn’t changed though, Michael is the availability of financing to do deals, right? It seems to me that you’re looking at scenarios where people ever have to use equity or cash on hand or cash they generate because of the financing or attractive financing isn’t really there. So while there is an uptick in activity, I still think the challenge that people are going have is, again, how to do the financing for some of these assets. Michael, did I answer all the questions that you asked or is there…
Michael Dudas: No, that’s very helpful though. That makes quite a bit of sense, because there are those dynamics on capital, which of course is probably going to lead to a much tighter market for global thermal and met coals in the future. So my second part of my question would be maybe, Jim, as you assess how your customers are reacting, looking at things – obviously, it’s a very volatile market, but as you look forward into later this year maybe into next. Are you more encouraged or cautious about the direction of demand and maybe pricing in the markets for the quality of thermal and met that you guys ship into the market?
Jim Grech: Yes, I’d say on a global scale, we’re more encouraged not just later this year, next year, but I’ll just say going through the rest of the decade. That’s being, Michael, just to oversimplify it, a fact of supply and demand. We see demand growing both in thermal and metallurgical on the seaborne markets and the constraints to supply growth that have been there are still there access to new capital permitting ESG pressures, lack of hiring employees. So while the volatility is going to be there in the pricing, as you see right now, there’s some maybe downtick in demand, because of weather or some excess gas on the market. The underlying fundamentals this year, next year through the decade, are still really strong in the fact that we think demand is going to be growing and supply is going to have a hard time responding to it.
Michael Dudas: Makes sense, Jim. Thanks for your thoughts.
Jim Grech: Thanks again, Michael, for getting on the call.
Karla Kimrey: Next question?
Operator: [Operator Instructions] The next question is a follow-up from Lucas Pipes with B. Riley. Please go ahead.
Lucas Pipes: Thank you very much, operator. Thank you very much for taking my follow-up questions. And Jim, the first one I wanted to touch on is just kind of the acute state of the met coal market today. It’s softened a bit, price is still strong by historical standards, but I wondered if you could shed a little bit of light on what you’re seeing from your customers and the various geographies and what you think is causing this back. Thank you very much.
Jim Grech: Yes. I’ll break that into two parts of the answer, sort of shorter term and longer term. In the shorter term, what we saw was China, the exports of steel out of that really flooding the market here in the first few months of the year. And we’ve seen that pull back significantly now, as you’re getting into – there’s a lot of domestic growth going on in China and the demand for steel as we’re already seeing less exports of steel from China and more use for internal consumption of it. So that goes with a need for more coal imports into China and being less steel out on the market from China opens the way for other countries now to be pushing their product out there. So we’ve seen the dip in the prices still at a very healthy price at around the $250. But we think the conditions are there now with what’s we see with China and its steel production for production in other countries to fill that void on the international market. So there’s potential there for strength with that. And then again, long – longer term, I’ll just go back to the same supply and demand dynamic that I mentioned with Michael and that seeing again, not very quick response from the supply side if at all, and as demand increases, having that out of balance equilibrium in the supply and demand side on the international met markets.
Lucas Pipes: I appreciate that. Thank you. And then switching topics, a little bit of a complicated question, but as much detail as you could provide, I would appreciate. When I think about your restricted cash defusing the reclamation liability effectively, but then also the larger bonding requirement at the minimum liquidity requirement that comes with that. So over time, I would expect kind of both the NPV and the bonding requirement to come down. And this should unlock a fair bit of capital. But first, can you comment on kind of the expected pace of those declines. And then what sort of reclamation costs would be associated on the other side of it as you reclaim land and return mind areas to their original state. So again, just trying to get a sense for the NPV of that liability, how it may change in also the bonding requirement, how capital might be unlocked there. Thank you very much for your color on this.
Mark Spurbeck: Certainly, Lucas. I guess I’ll start with the first question. The collateral cap on the surety program is a percentage of what is currently bonded. It’s a little bit different by individual market and by characteristics of the bonds they’ve written, but it’s 56%. You are correct, as bonds are released after work is completed that would naturally come down. So that’ll be completely dependent upon new bonding requirements and new operations. So we have not seen a significant change in that amount from a GAAP liability perspective over the last several years. And I don’t expect to see one going forward for the next several years either. The total bonding has come down recently, but I expect it to be pretty stable going forward. And then as far as the expense that goes on, we have guided to $60 million to $70 million of kind of ARO cash spend. That’s been pretty consistent over the last several years, and I’d expect that to continue.
Lucas Pipes: Got it. So over the next few years in a nutshell, we shouldn’t expect meaningful changes either on the bonding requirement or the present value that you have cash collateralized of that amount. Is that right?
Mark Spurbeck: That’s correct, Lucas. Again, that $900 million plus number we have in the balance sheet for total restricted cash and collateral not expecting to see significant changes going forward. If there’s changes in laws or some additional new bonding requirements, then that could go up. But we’ll do our best to offset that by completing reclamation work and continuing to get bond releases.
Lucas Pipes: Got it. That’s very helpful. I appreciate that, Mark, thank you for the color. And then just to go back to Shoal Creek one more time. With the temporary seal program being initiated, that due to an abundance of caution or have there been signs of lingering hotspots, for example, underground that cost this measure to be – thank you very much.
Jim Grech: Yes. The readings – while I have been very stable at the mine have not been zero when it comes to like, levels of hydrogen or CO. So this is – and so we’re putting the temporary seals in again with MSHA to make sure that it is a safe environment for us to get into access the rest of the mine and hopefully back to this area here. So I don’t know if I call it an abundance of caution, Lucas, we’re comfortable with this approach and working with MSHA on it. So the temporary seals I think are a good indication, yes, that we get to get in there quickly and localize the area, where it’s at. So I guess I’d leave it at that.
Lucas Pipes: Okay. No, no, that’s helpful. Thanks again for all the color and best of luck.
Jim Grech: Thank you, Lucas.
Karla Kimrey: We have any more questions?
Operator: There are no further questions at this time. So I would like to turn the conference back over to Mr. Jim Grech for any additional or closing remarks.
Jim Grech: Well, I’d like to thank you all for joining us today, and I’d especially like to thank our employees for remaining focused on safety and for continuing to execute on our various initiatives. I’d also like to thank our customers, investors, insurance providers and vendors for your continued support. Operator, that concludes our call.
Operator: Thank you. That does conclude today’s teleconference. We do appreciate your participation. You may now disconnect.